David Seaton: Thanks, Ken. Good morning to everyone, and thank you for joining us here today. Today, we'll be reviewing, as Ken said, our fourth quarter and full year 2010 results and discuss our earnings guidance for 2011. I'd like to start by covering some of the highlights of our performance in 2010, so I'll ask you to please turn to Slide 3. First, as a clear sign of our strength, our market position, we posted full year new awards of $27.4 billion, which was a new company record. This represents a 48% increase over 2009, and we had significant awards across our diversified portfolio, but clearly, our strong Mining & Metals orders and sizable upstream oil and gas awards were the most significant contributors. We also posted major wins in Infrastructure, Government and our Global Services sectors during this year. New awards for the fourth quarter were strong $7.1 billion, including awards of $4.4 billion in Oil & Gas and $1.3 billion in Industrial & Infrastructure. Turning to Slide 4. We were awarded the engineering, procurement and construction in the upstream facilities associated with the Santos Gladstone LNG project in Queensland, Australia, valued at $3.5 billion, which is a very important strategic win. When you combine that with our FEED win for the Woodside Browse LNG offshore facilities, these awards helped establish Fluor as a leader in the region in the burgeoning oil and gas market. In the fourth quarter, we also booked one of the first incremental awards for the first phase of the ExxonMobil West Qurna upstream production development program in Iraq. Now this early awards project encompasses the engineering, procurement, construction and management contract for oil field and related infrastructure development to support the West Qurna development. Fluor expects to book further awards on a periodic basis as this project is released. The Industrial & Infrastructure segment booked a large iron ore expansion in Chile, and Fluor's $350 million share of the Windsor-Essex Parkway PPP road project in Ontario, Canada. Also in the fourth quarter, our Government group booked over $530 million in new awards, including the LOGCAP task orders; and the Power segment booked $471 million in awards, including a four-year contract for system-wide fossil power plant maintenance for Luminant. Turning to Slide 5. Year-end backlog rose to $34.9 billion, up 30% from a year ago and up $1.9 billion over last quarter. Despite the inherent variability of the quarterly bookings, as we signaled before, new award wins will be lumpy as we go through the year's quarter-over-quarter. However, this represents the third consecutive quarter of increased Fluor backlog. Moving to the income statement. Net earnings attributable to Fluor for 2010 were $357 million or $1.98 per diluted share. Full year results reflected profit growth in Government, Global Services and Power, offset by the anticipated decline in Oil & Gas segment. Turning to Slide 6, the Industrial & Infrastructure group. While the profit contribution for Mining & Metals business and certain infrastructure projects were very strong, the segment was impacted by pretax charges on the Greater Gabbard Offshore Wind Farm Project. In the fourth quarter, we recorded an additional $180 million charge, driven in part by the bankruptcy of a major subcontractor, which adds to the $163 million charge we took in the third quarter. The company also recognized $152 million tax benefit, a significant portion of which arose from the financial impact of the Greater Gabbard charge. On our third quarter call, we discussed that the Greater Gabbard project did experience a number of issues that substantially increased the estimated cost to complete the project. Many of these issues date back to the beginning of the project when the customer caused significant delays when they directed us to address perceived well issues on the monopiles. Substantial cost associated with that issue and the knock-on effect impact to both the project cost and schedule are included in the claim that we have outstanding with the client. In addition to the issues associated with the ongoing claim, continued cost overruns on the project reflect execution challenges, including the bankruptcy of the major subcontractor, delayed material and equipment deliveries, along with low wind turbine and subsea cable installation rates, which also added substantial cost for the additional maritime assets and have extended our schedule to complete. Late in the fourth quarter, the project was impacted by the bankruptcy of a major subcontractor with responsibility for transporting and installing a subsea cabling. Subocean formally entered bankruptcy administration on January 19, resulting in the recall of all Subocean's installation vessels back to port. Immediately preceding the bankruptcy, the project experienced very low productivity due to payment disputes between Subocean and its suppliers. While we're in the process of contracting for other vessels and crews to resume the installation of cables, the day rates for those activities are expected to be significantly higher than the rates that were in our original contract with Subocean. The project has also continued to be significantly impacted by weather-related delays which dramatically worsened during the fourth quarter. Weather delays equate to lost days, which result in substantial additional cost for idle vessels and crews. Now turning to Slide 7. With regard to progress on the subsea cabling, we continued to be impacted by the weather and technical challenges. Our current forecast assumes that most of this work will be completed this summer, which represents about a two-month delay from our estimate at the end of the third quarter. I think the photos on Slide 7 show the size and specialized nature of the marine assets that we're using. Our previous cost estimates assumed that we could secure an additional jack-up vessel to speed the pace of wind turbine generator installation. While we continue to make progress on the installation of the wind turbines in the fourth quarter, we're well behind the schedule that we envisioned would be possible at the end of last quarter. Due to challenging oceanic conditions and limited vessel availability, we now see the turbine generator installation and commissioning extending through the spring of 2012. To summarize, the incremental $180 million charge in the fourth quarter primarily reflects additional costs associated with the impact of Subocean's bankruptcy, additional downtime due to extensive weather delays and the additional cost for the wind turbine generators and cable installation. We expect to complete the project in the first half of 2012. Our current position represents our best cost estimate at this point, considering the project's teams experience today and what we believe will be required going forward. While we have taken a number of actions to mitigate cost escalation and delays to the schedule, we could continue to experience challenges as we work towards the completion of this project. Now notwithstanding the substantial challenges that we experienced on Greater Gabbard in 2010, I believe Fluor is well positioned to grow in 2011 and beyond, and our markets in the global economy continued to strengthen. Now I'd like to turn it over to Mike Steuert to review some details of our operating performance and corporate financial metrics, as well as our financial outlook for 2011. Mike?
D. Steuert: Thank you, David, and good morning. Let's start by going over a recap of the year. Detailed results for each operating segment can be found in the earnings release and in the 10-K. I'd like to refer you to Slide 8 of the presentation. Revenue for 2010 was $20.8 billion, which is down 5% from $22 billion a year ago. This is primarily due to a lower contribution from the Oil & Gas group as they transition from large downstream projects nearing completion to the large upstream projects awarded this year. Validated segment profit for the year was $621 million. This is down significantly from last year due to $343 million of charges on the Greater Gabbard project that David discussed. In addition, there was a $95 million charge related to the bankruptcy brewing that adversely impacted the collectability of our claim on the completed SR-125 road project and charges totaling $91 million for the estimated additional cost to complete a gas-fired power plant in Georgia. Moving on to Slide #9. We continued to actively manage our corporate G&A expense downward during 2010. For the year, actuals of $156 million were reduced from last year's $179 million as a result of ongoing cost reduction initiatives and lower management incentive compensation. For 2011, we expect our outlook for G&A expense to be in a range of $170 million to $190 million. The low tax rate for 2010 was primarily attributable to $152 million tax benefit from the tax restructuring of a foreign subsidiary in the fourth quarter. A significant portion of the tax benefit arose from the financial impact of the Greater Gabbard losses on the effective subsidiary. As David mentioned, Fluor's consolidated backlog increased to $34.9 billion at the end of the quarter. The percentage of fixed-price backlog rose 29% with a geographical split at 26% in the U.S. and 74% outside of the United States. It's worth noting that 80% of the new awards in 2010 were for projects outside of the U.S. Shifting to the balance sheet. On Slide 10, the consolidated cash and marketable securities balance is $2.6 billion into the year. In spite of cash outflows to fund the Greater Gabbard project, operations generated over $550 million in positive cash flow during 2010. The portion of the cash flow was used for share repurchase. Last quarter, the Board of Directors approved an increase in the company's share repurchase program, raising the total number of shares available to 12 million. During the year, we repurchased just under 3.1 million shares or about $175 million worth primarily during the fourth quarter. Our expectation is to continue buying back shares throughout 2011 on an opportunistic basis. We also paid out approximately $90 million in dividends during 2010. Capital expenditures for the year were $265 million compared to $233 million last year. This increase was driven by continued investment in construction equipment through our Global Services segment, which supports both third-party clients, as well as the needs of other Fluor business units. For 2011, we expect the capital expenditures will range from $250 million to $275 million. Full year depreciation expense was $189 million. And as we said for numerous quarters, Fluor's financial condition continues to strengthen. Finally, let me conclude my comments by talking about our guidance for 2011, which is shown on Slide 11. With three consecutive quarters of strong new awards and backlog growth with a healthy prospect list, we are maintaining our EPS guidance range for 2011 at $3 to $3.40 per diluted share. These estimates again assume a G&A expense of $170 million to $190 million and a normalized tax rate of 34% to 36%. With that, operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Jamie Cook with Credit Suisse.
Jamie Cook - Crédit Suisse AG: I'm not going to go too much into the charge because it sounds like it's unclear whether it will be more. But I guess, David, what quarters will you be working most heavily on this project? Because I'm just trying to get a sense for if there's another issue, when that potentially pops up. And then I think historically, you've said that there are other wind projects that you're bidding on. So given what we've seen to date, does that change your opinion? And then the last question if you could just talk to the Oil & Gas margins were lower than I thought in the quarter. Was there anything unusual in there?
David Seaton: I'll start from the back, Jamie. I think the Oil & Gas margins were a little depressed because as I said in the last call, we're kind of in that inflection process where the new awards are starting to come in and we still have a fair amount of bench that we're dealing with as we get ready to really start these big programs. So I don't expect that margin to stay where it is going forward. But as I've said in the past, I don't think it's going to reach the level what we enjoyed in the '08, '09 time frame.
Jamie Cook - Crédit Suisse AG: But our projects we're putting in backlog today, is it higher margin than where we were six months ago within Oil & Gas specifically?
David Seaton: Yes.
Jamie Cook - Crédit Suisse AG: Care to quantify or no?
David Seaton: No.
Jamie Cook - Crédit Suisse AG: Just Greater Gabbard, and I'm just trying to get a sense for I didn't think you were doing much work this quarter?
David Seaton: Well, we'll continue to do a fair amount of subsea cabling, and that's where the Subocean assets were pointed. So you can imagine the bankruptcy came as quite a surprise to us, and again, that was January 12, which, I think, tells you that it was a little bit of a surprise to us. As far as the amount of work we're doing, we'll continue to do the cabling through the season as long as the weather provides. We have been impacted by probably some of the worst weather from an averaging standpoint that we see, but the majority of the wind turbine generator installation will take place in the late spring and early fall. So we should have the most of the activity during that period of time.
Jamie Cook - Crédit Suisse AG: And then your thoughts on their other wind projects out there that you were bidding on? Does that change your view on whether or not that's the right direction in which Fluor wants to go in?
David Seaton: Well, I still believe that wind farms are a good business, but I think it's safe to say that we won't do any future wind farms under the existing contractual approach.
Jamie Cook - Crédit Suisse AG: So you won't do another wind farm fixed price?
David Seaton: Major portions of it fixed-price.
Operator: And our next question comes from Andy Kaplowitz with Barclays Capital.
Andy Kaplowitz - Barclays Capital: David, maybe you could tell us of the $180 million charge at Gabbard, how much was the bankruptcy of the subcontractor? Was it the majority? I'm just trying to think about how we look at it going forward?
David Seaton: It's a significant amount. I wouldn't venture to define it any further than that.
Andy Kaplowitz - Barclays Capital: And then if you look at your guidance for this year, you kept at the same. How do we get conviction in that guidance with sort of this open-ended Greater Gabbard issue? I mean we're all going to try and figure out how conservative, David, you're being here, but it kind of seems like we're right in the middle of you trying to get a new subcontractor, is that fair?
David Seaton: I think that's fair, and I think we're still replacing Subocean, but I think this has been a very expensive lesson, and those lessons have been put into the forecast going forward. As I said in the prepared statement, we can't guarantee we don't have any other problems on Greater Gabbard, but I think those lessons that we've had have been pre-pointed in how we've estimated going forward.
Andy Kaplowitz - Barclays Capital: So I mean, bankruptcy is a pretty big unusual deal. If we don't have anything like that, do you feel pretty good about your new estimates?
David Seaton: I feel pretty good about our new estimates, yes.
Andy Kaplowitz - Barclays Capital: Shifting gears, the Industrial & Infrastructure business, the margins x Gabbard were very high but the revenue was sequentially down a lot. And so I'm just trying to figure out what happened there. Are some projects coming in with more equity earnings? I mean you would think of that business as ramping up in revenue not down and the margins were quite high x Gabbard?
D. Steuert: Andy, you're correct. There's a general trend for the revenue to ramp up as we go through the mining work, but it is kind of lumpy from quarter-to-quarter just depending on how much client furnished material and other things come in, in various quarters. Your other comment is absent Greater Gabbard, that business segment's performing extremely well. We had a very good quarter in the Mining business and in the other Industrial & Infrastructure businesses.
Andy Kaplowitz - Barclays Capital: Mike, I always ask you this. The Mining margins that are coming in, are they better than 3% potentially?
D. Steuert: In some cases, yes.
Operator: Our next question comes from Will Gabrielski with Gleacher.
Will Gabrielski - Gleacher & Company, Inc.: First, the run rate on government awards. I thought we were sort of hitting a new threshold closer to $1 billion, and then that went backwards this quarter. Is there anything that's different there? Or is it just normal lumpiness of government award timing?
D. Steuert: Well, the LOGCAP awards are pretty evenly -- they're ballpark $500 million a quarter. And then we, of course, in the third quarter of every year, we have the major award for Savannah River, the annual funding. So that may be what you're referring to in the third quarter when you saw a larger number.
David Seaton: Well, the Portsmouth award pushed from fourth quarter to first quarter.There's some impact in there.
D. Steuert: But for Portsmouth and Savannah River, as we've done for quite a few years on our DOE sites, we booked that once a year and generally in the third quarter when the budgets are approved.
Will Gabrielski - Gleacher & Company, Inc.: I was curious on the Browse FEED in your press release last night. Can you guys give a value proposition of teaming with the McDermott there versus doing upstream FEED by yourself for Santos? Or how maybe you went through it in Iraq and why you would wind up teaming with McDermott in this situation versus going it alone?
David Seaton: Well, I think as I've said before, when you look at the upstream sector, particularly offshore, we did not want to take on a heavy asset base. So that pushes us to team with people like McDermott, which we've done so in the past very successfully. I think that's the main reason. But when you look at the FEED, the majority of the FEED will be done by Fluor. But the FEED was also awarded with the follow-on EPC assuming that it gets sanctioned. And that EPC value will require the assets of McDermott. So the majority of the project management and the front-end design is primarily Fluor. When we get to the EPC side, it will have a significant component of those marine assets. And I'd like to go one more. Will, when you look at that question specifically, the offshore Oil & Gas business, as well as the comment relative to wind farms, we believe that having control of those Marine assets to be an absolute critical point. And therefore, when we look at things in Offshore Oil & Gas, as well as wind farms, we will either partner or have control of the key marine assets.
Will Gabrielski - Gleacher & Company, Inc.: The Global Services business, just general commentary there. It would seem that, that should be ticking higher, yet awards were down a little bit quarter-to-quarter and kind of like ran through the year at an average of 400, which was up a little bit from '09 but still well off-peak. Can that start to recover more meaningfully in '11?
David Seaton: I think so. I think that the discretionary spend of our customers is beginning to come back. I think it's probably going to be late '11 and early '12 before you see any significant change in the earnings stream, but I am pretty bullish on where that market's going. I also believe that they've done a good job of diversifying their offering from being heavily dependent on the major turnarounds to more of an asset management model with some of the customers like IBM and DuPont.
Will Gabrielski - Gleacher & Company, Inc.: And one more, David, Clean Air Transport Rule U.S. Power, just general thoughts on what that could look like for awards in 2011? And I guess gas plants will be a big part of that?
David Seaton: Absolutely. And gas plants are in our sweet spot, and we're seeing a fair amount of FEED activity or pre-planning activity with our customers in that regard, and I believe there will be a dash to gas, and we're well positioned to take advantage of that market.
Operator: Our next question comes from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank: I noticed that the fixed-price mix increased to 29% from about 20%. Is that largely due to the Santos contract?
D. Steuert: It is, we also have the Windsor-Essex Parkway that was booked in the quarter as well. So the two of them increased that, Steve.
Steven Fisher - UBS Investment Bank: And so just as it relates to the Santos, can you just discuss what exact risks you're taking on in that project and how you intend to manage that risk?
David Seaton: Well, this project was a negotiation as opposed to a full-bid process. If you remember back, it was a competitive FEED process we went through. We won that. That gave us the right to develop the EPC pricing which we have done, and many of the components are indexed around labor and labor productivity. I mean labor is a very precious commodity in Australia right now. So there are pieces that we do have some protection on, but I feel comfortable with how the project has developed, the knowledge of our team on things that we know how to go do, as well as the surety of scope that exists on that project.
Steven Fisher - UBS Investment Bank: So if the labor, productivity and cost are indexed, is the risk that the costs run up ahead of what the indexing allows you?
David Seaton: I think part of the indexing is creating the lump sum, and that indexing was done with a keen eye on what the labor market is going to look like over the next little bit of time, and I think we have great insight into that given the amount of work that we already do there in the mining sector. So I feel pretty comfortable the way that estimate was developed, that we do have protections in there that will ensure our success on that project.
Steven Fisher - UBS Investment Bank: And then just shifting to the gas-fired power plant. Just talk a little bit about what happened there for the incremental cost on that project?
David Seaton: I'm sorry, say again?
Steven Fisher - UBS Investment Bank: The gas-fired power plant, the incremental cost there, can you just talk about what happened there?
David Seaton: The incremental cost relative to the...
D. Steuert: Plant McDonough.
David Seaton: The plant McDonough. We still continued to struggle with productivity on that job. I think that we made some significant changes in our project team. We've also worked very closely with the labor market. Now that is a union job and expect quite a bit of improvement coming from that project going forward. So I think that was the main reason for the addition. But again, I think based on the knowledge that we have today, we've put that into the project, and I'm confident of our position now.
Steven Fisher - UBS Investment Bank: And then just lastly, so you have $10 billion of fixed-price contracts. We talked about Santos. We talked about the wind projects and the gas plant. So how concentrated is the rest of the fixed-price mix? And maybe could you just spend a minute talking about some of the most major projects you have there and where you stand on those particularly I guess the Bay Bridge and any of the other big infrastructure fixed-price contracts? That's a key topic on investors' minds. They want to know where you stand here.
David Seaton: I'd probably back up a little bit and start by saying that because of Gabbard and some other things, we took a real close look at our risk process to see if we had any glaring holes in how we do these things. And I'm happy to report that we still believe in that process, and it works. There's been some significant issues that you've seen, bankruptcy being one of them, that would not have been anticipated clearly in how we develop these projects. So I'm very bullish and comfortable with the process that we have that allows us to create these lump sum or fixed-price projects with a high degree of surety going forward. Now I know that it's hard for you guys to understand given what we've shown you here, but I feel good about the process that we have. We've had probably I think the number was 62 "risk projects". We've had problems on two from a pricing standpoint over the last little while. Now granted, they were significantly bad, but that's two out of 62. It's not too bad from a project perspective. So that gives me comfort that we do have a good work process in place to identify these risks and price these risks, and then we've got the execution capability and the knowledge to properly mitigate and manage those risks. But as far as the concentration, I think it's pretty spread out, and there's not anything in there as large as Greater Gabbard. You asked specifically about the Bay Bridge. That project is going very well, and that is a case where we own, with our partner, the big shear-leg crane that some of you saw when we took the trip there. So that's an example of where we practice the asset ownership, the asset control, which is part of that risk mitigation. So I think we do a lot of things really, really well. It's a shame that we have these circumstances on things like Gabbard and McDonough, but again, I look at where we are in the future based on the fact that I have a very keen understanding and faith in the process that we use going forward. So I don't think that there's anything unusual going forward or in our backlog right now. And as I said, when you look at our growth and our ability to put the kind of new awards on the table here over 2010, notwithstanding some lumpiness, I think we'll continue to grow backlog over 2011. And I believe very strongly that we have the tools and systems and people in place to deliver the margin that we expect on those projects.
D. Steuert: And then our top 20, we do have a couple of other fixed-price projects, one of which was at Denver Eagle P3 that we booked in the third quarter, I believe, of 2010. That's moving very well. It's early stages, that's doing well. And the other projects in the top 20 is the I-495, which is also progressing very well.
Operator: Our next question comes from Scott Levine with JPMorgan.
Rodney Clayton - JP Morgan Chase & Co: It's actually Rodney Clayton here for Scott. So can you talk a little bit about the refining of petrochemicals business? Obviously, on the refining side, we've seen an improvement in crack spreads over the last few weeks and months, and several service providers have cited strong turnaround season. I'm just curious if you're seeing some of the trends in terms of capital spending picking up there? And if so, can you maybe bifurcate between maintenance type spending versus any capacity additions that might be taking place?
David Seaton: Sure. I think on the turnaround season, we are seeing that pick up. As I mentioned earlier, we see the discretionary spending coming back in there because of the crack spreads. And I would divide the downstream market between North America and the rest of the world. In North America, most of the spend is going to be on that maintenance side because we basically finished most of the major capital or are in the process of finishing most of the major capital programs in North America. So it's going to be smaller projects. We're finishing projects that have already been sanctioned. So I don't really see a whole lot of tremendous growth in North America, but I do see it outside the U.S. I see growth in South America, Asia, as well as the Middle East with regard to new capacity. Mexico, I guess I should say, is going to look at more of the cleaner fuels, and there will be expansions in places like the Salamanca refinery in Mexico, which we're very well positioned for. So as I signaled before, I see the downstream market as not as many big elephants going forward but certainly significant opportunities that'll be in the $300 million to $500 million range fairly globally, and we've done some things to expand our execution capability to be able to address those markets in the other places. Now petrochemicals is probably the biggest cyclical business in our oil, gas and chemical segment as it historically has been, and we're coming off a big boom on the ethylene chain again in finishing those programs. So what we're seeing is the further downstream derivative projects down that ethylene chain. There are some pretty sizable projects, but they're all going to be in the Middle East and Asia and specifically China, which again fits into our sweet spot when you look at our execution capabilities in those two regions. But I don't expect the chemicals piece to be demonstratively larger than we see in the current portfolio during '11.
Rodney Clayton - JP Morgan Chase & Co: Secondly, on the gas business, I know you've already spoke to the gas-fired capacity additions. But more in terms of derivatives in terms of pipelines and gas processing and storage, are you seeing any uptick there? And maybe you can speak to us similarly as you did with refining in terms of North America versus the rest of the world?
David Seaton: Well, gas outside of the U.S. in the normal regions are pretty bullish and continuing. Gladstone is a great example of that, and I think we've positioned ourselves quite well. The Middle East is also going to be a big play for us in places like Abu Dhabi, where we have a very strong capability. In North America, it is the Marcellus and the Barnett Shale play, it is somewhat fragmented and smaller from a capital perspective. We are looking at some opportunities around the infrastructure to support those, and we'll be looking at that pretty hard. But I don't see a real large play for us in the gas gathering and storage, but I believe some of the infrastructure around water and transportation will be part of things that we'll look at pretty hard.
Rodney Clayton - JP Morgan Chase & Co: I noticed your CapEx outlook at the midpoint to just kind of flattish spend year-over-year, and obviously, that should be a good thing for your free cash flow. But how should we interpret that? Does that suggest that you're not seeing an uptick in maybe internal investment opportunities? And does that suggest that you might look to be more aggressive on M&A going forward? Or are you just consciously trying to flatline that spend so you get the free cash flow boost?
D. Steuert: Let me comment on that. That CapEx really doesn't support our capacity or our growth. That CapEx is to a large part supporting the growth of some of our clients to help them with their projects, as well as third parties. And I think our forecast is conservative. We have a lot of opportunities for CapEx in excess of $250 million should we want to spend that kind of funds to support a number of our clients that are growing in a lot of different parts of the globe.
Rodney Clayton - JP Morgan Chase & Co: So you're not looking to any type of facility spend or anything like that on a major way this year?
D. Steuert: No.
David Seaton: No.
Rodney Clayton - JP Morgan Chase & Co: And then one more, if I may. The Middle East obviously has taken quite a headlines there. Can you remind us which countries, other than the obvious ones, where you're most active? And just kind of generally speaking, what's your outlook there? How that might impact you going forward?
David Seaton: Well, I think the base answer is we enjoy great diversity of industry and geography. So I believe that just in general, capital spend in those major markets like oil and gas is like squeezing a balloon. If you squeeze it and shut it off in one part of the world, that investment will go to other parts of the world. So I don't think it necessarily has a dire impact on us. We're active right now in Saudi Arabia, Kuwait, the UAE and Qatar, and I don't see a lot of change right now. Obviously, we've been pretty keen around the security of our people. I'm actually going out next week to the Middle East on a routine trip. So I feel quite safe given the places I'm going to be going, as well as the security that we enjoy as Fluor. The unrest right now is interesting. I think the changes that you're seeing are in places where unemployment is quite dire. And in a lot of the places where we're working with notwithstanding Saudi, you don't have as much difficulty there. So I think the Middle East is changing, but I'll give you an example. When I first moved out there in '95, '96, Bahrain was off limits to the ex-pat community or the Fluor community because of unrest between the Shiite and the Sunni. That's what you're seeing today. It's opportunistic given the Egyptian uprising and the Tunisian uprising. So I think there's going to be moderate change politically and otherwise as we go through this year in the Middle East, but I also believe that cooler heads will prevail, and it won't be a significant problem relative to our business.
Operator: Our next question comes from Michael Dudas with Jefferies.
Michael Dudas - Jefferies & Company, Inc.: David, maybe you could share with us your thoughts heading into 2011 of the state and the structure of the contracting industry, how it looks relative to what it was over the past couple of years, and how Fluor is positioned in this uptick in what I think most people think is growth in capital spending.
David Seaton: I think that as I've said before, there's been the question around the Asian competitors. And as I've said, this is the third or fourth time I've seen predatory pricing come from that part of the world. And we just choose not to participate in that price war. I think pricing is moderating. I think that many of the competitors that we've talked about in the past have quite large backlogs and may suggest a capacity issue, whereas I think we kept our powder dry and we're ready to take on the projects that are in front of us. I think that the markets are changing. I do see an uptick in just about every market. I see capital being made available in just about every market that we play in, but I really believe is the diversity of Fluor both market and geography that sets us apart. We can go take advantage of any individual market or geography when that opportunity comes. And the organizational structure that we have allows us to be local in most of the key regions of the world. So we've kind of used the term in the past The Great Gretzky. We know how to skate to where the puck's going to be, not where it is. And we've done a lot of things to invest over the last year and a half to make sure we're positioned very well in those markets.
Michael Dudas - Jefferies & Company, Inc.: Sure your Canadian shareholders appreciate that comment. And just finally, as you look at your organization today, are you staffed appropriately to meet today's backlog needs? Or as you indicated, how much availability do you have to be opportunistic and take advantage of your clients' needs and to expand the size of the revenue base and certainly the earnings base over the next couple of years?
David Seaton: One quick example, as you know, I think Jamie noted that E&C margin was down into the threes. Well, that's us making sure that we're investing in our people and our systems to be available for those programs as they come. I would say that right now, from the peak of '08, late '08, we're down about 10% to 12% in headcount. Well, that means to me that we've got not only we have the capacity to do what's in front of us both in backlog as well as the programs that are in front of us that we're bidding right now. I think Fluor has got a unique position to be able to turn that crank and add to our capability human resources-wise pretty easily. We've got great tools and systems that I also think set us apart because when you sit at a design table in Manila or in Houston or in the U.K., our people sit down to the same exact tools and systems. So we have a strong training and development capability that I think make us an employer of choice, which aIl add to our ability, I think, to turn the crank and have more capacity than many of our competitors.
Operator: Our next question comes from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc.: I have two questions. Number one, in the prior quarter and really any quarter, David, the comments that you've provided at conferences thereafter, you indicated that if bookings in the fourth quarter and into the first quarter was strong that you'd feel more comfortable around the mid to upper end of your guidance. And I guess that would be outside of the potential issues on the offshore project. Could you comment a bit on how the bookings came in versus your internal expectations and how you incrementally feel about guidance to the extent you can comment? And I guess the second question is in regards to Brazil, a lot of positive commentary and visibility over there in terms of Deepwater, but it seems that's trickling into other aspects of infrastructure there including some of the refinery space and in terms of some of the more civil infrastructure space. So we'd like to get any commentary you can provide on your outlook there and positioning there going forward.
David Seaton: Well, I think on the new award side, it has been lumpy. But as we've talked in the past, things move from quarter-to-quarter. We were fortunate that Santos happened, but it happened very late in the quarter, and so we're very fortunate in that. But I think the commentary is the new award intake is matching with our expectations, both in terms of what we did last year as well as in terms of what we're expecting during 2011. So I think we're sticking very close to what we've anticipated as far as new order intake that provides us earning streams as we go throughout the out years. Relative to Brazil, we're still looking very keenly at that. That's a very difficult market to compete in relative to infrastructure simply because of the competitors that are there and some of the Brazilian practices. We have an ability to work there. We've done it in the past, and we just got to make sure that we do it on a measured basis, again, going back to our risk processes and make sure we know exactly how we're going to make money there before we really take a big step there.
Operator: Our next question comes from Joe Ritchie with Goldman Sachs.
Joseph Ritchie - Goldman Sachs Group Inc.: On the two projects that you're taking charges on, could you remind us again your percentage completion on each of the projects?
David Seaton: On Greater Gabbard, we're 72% complete; and on McDonough, we're about 62%.
Joseph Ritchie - Goldman Sachs Group Inc.: And then just focusing on Gabbard for one second, on the subcontractor that defaulted, could you just kind of walk us through the process of finding a new subcontractor and what's embedded into your expectations both from a timing and I think you mentioned higher rates? That would be helpful.
David Seaton: Well, I think in our going-forward estimate, we clearly have lost schedule time, so there's an issue of timing of installation that matched with our original plan. So there is additional schedule requirement because we've got to get new ships. We have gone out and we have preliminary pricing on the other marine assets that we're going to need, and that is embedded in the plan and estimate to go forward.
Joseph Ritchie - Goldman Sachs Group Inc.: On backlog, I don't think you've mentioned this, but are you expecting backlog to grow in 2011?
David Seaton: Absolutely.
Joseph Ritchie - Goldman Sachs Group Inc.: And then any specific large projects that you can talk about would be helpful.
David Seaton: I wouldn't really specifically talk about any large projects. I mean, obviously, we're in competition for several of them. But I think as I've said, it's going to be lumpy as we go quarter-over-quarter, but I clearly believe that we will end with a higher backlog in '11 than we ended in '10.
Operator: Our next question goes to Robert Conners with Stifel, Nicolaus.
Robert Conners - Stifel Nicolaus: If you were to look at the oil and gas FEED activity you are working on now relative to 12 to 18 months ago, that is just now turning into EPCM, would you be able to quantify or throw some color comparing the two levels of FEED activities?
David Seaton: Well, it's certainly much higher than it was a year ago and probably not as high as it was when we think back to '06, '07. It's very robust, though. It's primarily on the upstream oil and gas side. But we are seeing a fair amount of smaller projects, as I mentioned, in the downstream market. Again, it's rebounds, upgrades, it's cleaning up some of the gasoline markets around the globe, to some of the newer fuel specs. So for the rest of the world to catch up with the West, there's a lot of spend there in improving the gasoline qualities and lowering the emissions. So I'd say it's pretty robust right now and growing, frankly.
Robert Conners - Stifel Nicolaus: And then just real quick on your comments on the downstream side. Can we possibly see Fluor re-enter some geographies or countries where you had participated in the recent past to just some recent comments coming out of the regions of programs go forward on the downstream refining side?
David Seaton: Well, I'll answer it in two ways. One is I feel confident that we never really left some of these key regions. We may not have been as active as in the past. But again, I look at the geographic diversity of our company, and it plays very well for being able to go to these places and strengthen our capability again. But as I've said in refining, it's going to be in places like in South America and Mexico. It's going to be in Asia, as well as in the Middle East. But I wouldn't ignore the U.S. There's still projects out there in the U.S., and we're still as positioned here in the refining sector as anyone.
Robert Conners - Stifel Nicolaus: And then just real quick. If I were to look at oil and gas' backlog, employee level going into 2011, it's basically the highest it's been in five years. And I understand that as a market, it's just starting to turn that a 6% margin in that segment within a year is a bit of a stretch because pricing hasn't really improved across to the industry. But what's to keep Fluor from achieving, say, like a mid-5% margin within this segment just on increased utilization alone?
David Seaton: Well, I've always stayed away from margin questions, and I will stay away from margin questions going forward. But in general, I would say that we have reached, as I said, an inflection point, and you can read that, that is a utilization and a leveraged position on our people, tools and systems. So I do believe there's some economies of scales available to us as we get back to that high utilization rate. But I wouldn't give you an answer on the margin side on what it would be.
Operator: Our next question comes from Avram Fisher with BMO Capital Markets.
Avram Fisher - BMO Capital Markets U.S.: I think you're allowed to blame Alan for the first write-down if you want to.
David Seaton: No, I wouldn't do that. It's a team sport, and we're all in this together.
Avram Fisher - BMO Capital Markets U.S.: On the Greater Gabbard, I think Technip bought the subcontractor, I guess I have a few questions around that. What does it mean that you have a large competitor entering the space? Do you see that as a good or bad? And are you possibly working with them to continue to meet a settlement?
David Seaton: We've had conversations with them, but I don't think we came to any agreement relative to the existing assets. As far as them entering the market, I think that there is a lot of work in that market going forward. The question is how are we going to compete? As I mentioned, it's safe to say that we won't use the same contracting mode that we've used previously.
Avram Fisher - BMO Capital Markets U.S.: I mean, in the future, on one hand, you may be competing with them? Can you joint venture with them and share risk going forward on future projects?
David Seaton: Well, I think so. Technip is a great company. We worked with them in many places around the world. I have great respect for them, and I see no reason why we couldn't partner going forward.
Avram Fisher - BMO Capital Markets U.S.: A few questions that have been asked. I'm just trying to get a little more clarity on it. When you think about Industrial & Infrastructure, you got pretty really solid margins excluding the charge, and the burn rate on the backlog was lower than I expected. So I mean, was there any impact on flooding in Australia on the burn rates there?
David Seaton: No. I think one phenomenon that's there is the Windsor-Essex project where the success fee was part of 2010 but we burned zero revenue, progress revenue. So that might have a little bit to do with the disconnect you're speaking of.
Avram Fisher - BMO Capital Markets U.S.: And could you clarify how much or quantify what that fee was on the...
David Seaton: No.
Avram Fisher - BMO Capital Markets U.S.: And then thinking about it a little bit more deeply, you have on one hand a lot of infrastructure work, a lot of industrial work. How do we think about the flow of the burn? I presume infrastructure is a lot more seasonal than the industrial and the mining?
David Seaton: Well, I think the flows are -- I mean, there's no real difference in the flows from our anticipated flows. We build in the portfolio and nature of the business where you have the revenue flows on mining are reasonably synonymous with the Oil & Gas business, but we're all on a percent-complete basis, and that predicts the revenue burn.
D. Steuert: But probably the biggest variation was the timing of bringing in customer furnished material. CFM from quarter-to-quarter could produce some variation.
Avram Fisher - BMO Capital Markets U.S.: Hard to quibble with $2 billion in cash, but DSOs are up, free cash flow is lacking net income. What can be done to improve the free cash flow generation relative to net income?
D. Steuert: You're correct there. We've had some very positive events last month or so bringing in some more cash. One of the areas that we continue to work on very aggressively is with the U.S. government in Afghanistan. We do have quite a bit of funds tied up in both contract rep as well as accounts receivable, and that's just a fact, that it's just challenging to work in that environment. Before you can invoice the government these days you have to have every i dotted and every t crossed and it takes us quite an effort to put together our invoices and get paid from the government, especially for LOGCAP.
Avram Fisher - BMO Capital Markets U.S.: So federal government's the biggest culprit there?
D. Steuert: Well, we barely have more working capital tied up with LOGCAP than any other program have by far.
Avram Fisher - BMO Capital Markets U.S.: You mentioned water infrastructure before. Curious what areas -- what your entry point is in that water infrastructure market and why?
David Seaton: Well, I'd separate it between municipal and industrial. We will not participate in the municipal side, and we're looking very closely at the industrial side. We have great capabilities that are embedded in the projects that we've done in a lot of industries to give us that expertise and that capability on the industrial water side.
Avram Fisher - BMO Capital Markets U.S.: Can you clarify is that sort of the environmental regulatory work around energy side? Is it desalination?
David Seaton: It wouldn't be desalination necessarily. It would be on the environmental, the cleanup, basically the recycle of water usage as it relates to the gas production.
Avram Fisher - BMO Capital Markets U.S.: And then finally, your tax rate guidance, should we think about that? I know it's a small question, but should we think about that before minority interests? I mean, what's the right way to calculate the minority?
D. Steuert: That's a great question because I would think about that after at the bottom line, but that's where the rate is lower, the 34%, 35%. If you can give me 40%, use a higher rate.
Avram Fisher - BMO Capital Markets U.S.: And then before you go on the minority interest line, as projects ramp in the oil and gas side and then in the infrastructure side, should we expect minority interest to also grow?
D. Steuert: It'll probably grow in line with our revenue. I wouldn't think of there being any kind of growth that's disproportionate to the growth of the company because that comes not just from oil and gas, it comes from smaller infrastructure projects in our other markets in which we operate.
Operator: Our next question comes from Chase Jacobson with Sterne Agee.
Chase Jacobson - Sterne Agee & Leach Inc.: Just on the backlog risk profile. I don't think there are, but can you tell us if there's any projects in backlog that you would, other than Greater Gabbard, that you would consider first-of-a-kind projects?
David Seaton: No. That would be it.
Chase Jacobson - Sterne Agee & Leach Inc.: And then on the labor capacity, you mentioned 10% to 12% reduction since the peak in '08. How much do you think you could grow backlog before you had to add capacity to your workforce?
David Seaton: Well, that's going to be a moving number as we continue to grow. We're going to be bringing on new people as we go through '11 on a systematic standpoint like we always have. So I think there's not a lever point where we say we have to add X people. It's all based on new award backlog, the anticipated backlog and then frankly, the specialty types of resources that we need to attract or to attract business in a specific industry or in a specific region.
Chase Jacobson - Sterne Agee & Leach Inc.: And lastly, with the continued lack of clarity on funding for infrastructure, can you just update us on the PPT activity?
David Seaton: I think it's been fairly strong, and Windsor-Essex is a good example of that market continuing. We've got several projects out there that we're pursuing that hopefully we'll close as we go through '11 and into '12. So I see it continuing on a measured pace.
D. Steuert: Given the funding issues in a lot of governments and municipalities and what-have-you, I think our business model is very well suited to the current environment. So I think we're very optimistic about that, and that's combined with the fact that the capital markets are improving. There's access to credit these days gives us some optimism there.
Operator: Our next question comes from John Rogers with D.A. Davidson Investment Co.
John Rogers - D.A. Davidson & Co.: In terms of the share buyback during the quarter, what was your average purchase price?
D. Steuert: John, I don't have the exact number for you, but it was in the mid-50s, mid- to maybe slightly upward 50s.
Operator: Our next question comes from Alex Rygiel with FBR Capital Markets.
Alexander Rygiel - FBR Capital Markets & Co.: David, you highlighted the dash to gas. I'm curious how quickly you think that could play out? And what order of magnitude could that develop into over the next year or two? Is that a project or two per quarter or a project or two per year?
David Seaton: I'd say right now it's probably a project or two per year, and the reason I say that is there's still pending legislation on carbon. You've got the transport rule. You've got all these other things that are kind of out there. You got the EPA doing what the EPA is doing. So I think there's some question as to when that's going to take place. I do believe the fundamentals have changed quite dramatically given the price of gas as a fuel of choice. But as I've said, there's probably three or four that we're looking at right now that will really hinge on whether there's some ruling on air and water permits.
Alexander Rygiel - FBR Capital Markets & Co.: And how does the dash to gas change your longer-term view on the nuclear market?
David Seaton: Well, I think the nuclear market -- our view on the nuclear market is focused outside of the United States. We don't think the fundamentals necessarily support a major buildout or the nuclear renaissance in the United States that I think we thought was there a couple of years back. So we're continuing to position with the international market. We're continuing to position with some of the technology suppliers on the new technologies as well as on the small modular reactors.
Alexander Rygiel - FBR Capital Markets & Co.: And lastly as it relates to the Exxon work in Iraq, can you quantify the size of the booking in the fourth quarter and how often that could be reoccurring?
D. Steuert: That was a very, very modest booking. That project is going to be booked incrementally over time, and we expect that to happen throughout the next year or so.
David Seaton: I think it's going to range from $0.5 billion to $1 billion year-over-year for the foreseeable future.
D. Steuert: And that may happen in multiple quarters throughout the year, and may be more of a book and burn project as opposed to one large project going into the backlog.
Operator: Our next question comes from Martin Malloy with Johnson Rice.
Martin Malloy - Johnson Rice & Company, L.L.C.: Could you talk about the prospect list and any changes that you would like to highlight in the last six months in terms of types of projects that you're seeing?
David Seaton: As I signaled, I think what we've seen different is a lot more FEED work, which bodes well for the out years when they get into EPC. We're seeing not quite the level we saw in the boom in '06 and '07 on FEED, but clearly, it's pretty healthy, and it's pretty much across the board. But I think one of the differences is that we're much more diverse and we're much stronger in some other markets and not necessarily as reliant on one single market to maintain a growth curve. In days gone by, a decade ago, if E&C had, had the kind of percentage drop, it would have been a pretty material action. Because of the diversity in the mining business, the infrastructure business, the LOGCAP business, we continue to stay flat and/or grow in what's probably the worst financial markets since the Great Depression. And I just think that's a great testament to the strength and diversity of our company.
Martin Malloy - Johnson Rice & Company, L.L.C.: And on the Greater Gabbard project, could you talk about the availability of vessels, the specialized vessels that would be needed to replace the Subocean vessels? Are there a large number of those type of vessels out there that are available? Or is it a relatively finite group?
David Seaton: It's a relatively finite group, and that's why I showed the picture on the slide to show the complexity and the size of some of these ships. With regard to the jack-up rigs, we do have those committed. And in the case of Subocean, they're a little bit more available. But again, it's a tight market. There's a lot of wind projects going on in that part of the world, and it is a little bit tight. But as I've said, we've gotten bids on all of the vessels, so we understand what the additional pricing is, and we're tightening up on what the availability is and making sure that we've got those assets committed for this year.
Operator: Our next question comes from Chris Wiggins with Oppenheimer.
Christopher Wiggins - Oppenheimer & Co. Inc.: But re-visiting the share repurchase, last quarter, I think you were talking -- it seemed more aggressive as far as talking about heavily frontloading it versus this quarter kind of mentioning being opportunistic. I'm just curious if there's any change that I should be reading into on your willingness to be buying back here?
D. Steuert: No, there really isn't. I mean, we are going to be opportunistic as we go through the year.
Christopher Wiggins - Oppenheimer & Co. Inc.: Should we still expect it to be heavily front-end loaded?
D. Steuert: I think it's probably going to be more evenly spread throughout the year.
Operator: This concludes today's question-and-answer session. I would like to turn the conference back over to Mr. David Seaton for any closing or additional remarks.
David Seaton: Thank you, operator, and I really appreciate everyone's participation in this call today. We may have sounded a little frustrated, I think is a good term, relative to Greater Gabbard and the disappointment that our organization has in those results. But I'd like to point everybody back to the fact that Fluor had an extremely strong year in new awards, which surpassed the company's previous record, and we drove our backlog back to a point that's almost at record just under $35 billion. We're positioned and strong in every market and region that we choose to participate in, and I feel very bullish about the opportunities that are in front of us. But I also have to say that I feel very privileged to take the helm at Fluor at this time with the robust backlog we have and the prospects that are in front of us. I greatly appreciate your interest in Fluor and for your confidence in our company. Hope everyone has a great day.
Operator: This concludes today's conference. Thank you for your participation.
Operator: Good morning, and welcome to Fluor Corporation's Fourth Quarter and Year End 2010 Conference Call. [Operator Instructions] A replay of today's conference call will be available at approximately 2:00 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The Web replay will be available for 30 days. A telephone replay will also be available through 2:00 p.m. Eastern Time on March 1 at the following telephone number: (888) 203-1112. The passcode of 4733502 will be required. At this time, for opening remarks, I would like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead, Mr. Lockwood.
Kenneth Lockwood: Thank you, operator. Good morning, and welcome to Fluor's fourth quarter and 2010 year-end conference call. With us today are David Seaton, Fluor's newly elected Chief Executive Officer; and Mike Steuert, Fluor's Chief Financial Officer. Our earnings announcement was released this morning before market opened. We have posted a slide presentation on our website, which we will reference while making our prepared remarks this morning. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide #2. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information, and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in our 10-K, which was filed this morning of February 23, 2011. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are posted in the Investor Relations section of our website at investor.fluor.com. With that, I'll turn the call over to David Seaton, Fluor's Chief Executive Officer. David?